Operator: Welcome to Arkema’s Third Quarter 2023 Results Conference Call. [Operator Instructions] I will now hand you over to Thierry Le Hénaff, Chairman and Chief Executive Officer. Sir, please go ahead.
Thierry Le Hénaff: Thank you. Thank you very much. Good morning, everybody. So welcome to Arkema’s Q3 2023 Results Conference Call. Joining me today are Marie-José Donsion, our CFO, that you know well and the investor relations team. As always, supporting this conference call, we have posted a set of slides on our website. I will now comment the quarter’s highlights before letting Marie-José go through the financials in more detail. And at the end of the presentation, we’ll be able to answer your questions. So I don’t want to sound like a broken record, but the economic environment in Q3 was broadly similar to what we experienced through this year with low volumes, hopefully now at a trough driven by weak demand and some residual destocking. In these subscales countries, our Q3 2023 financial performance was robust, and our EBITDA was in fact comparable to pre-COVID levels but in a much lower volume environment. Our resilient EBITDA margin versus last year and our high cash generation are also strong element of performances and a testament to the success of the group’s repositioning in high-performance specialty materials. Here are some of the key points of the quarter I’d like to highlight. First of all, we delivered an EBITDA of €386 million in Q3. Year-on-year, our results were impacted by the absence of exceptional profit in PVDF we had in 2022, as you know, as well as less favorable market conditions in acrylics and they also underline lower demand trends in most end markets, although we continue to see a positive dynamic in automotive, energy, crop nutrition and batteries. And again, this €386 million of EBITDA was comparable to what we achieved in 2019 despite lower volumes. I’ll let Marie-José go through the detail by segment afterwards. Our EBITDA margin stood at 16.6%, showing, we think a good resilience, given the economic context and reflecting the evolution towards higher value-added solutions as well as our dynamic pricing policy. Group volumes were some 7% lower relative to last year. Europe and the U.S. bore the brunt of the decline while Asia performed a bit better, benefiting amongst other elements from higher battery volumes. The lower price effects mainly reflect, as expected, the normalization of PVDF and lower [indiscernible] and to a lesser extent, lower raw materials. Excluding the former net pricing was globally positive, thanks to our disciplined pricing policy as well as a favorable product-mix as we benefited from our innovation-led new business developments. Thanks to our team’s efforts to tightly manage working capital and cost, our cash generation was solid with recurring cash flow of €312 million in the quarter, in line with our full year objective to maintain an elevated cash conversion ratio. As well as dealing with a challenging short-term picture, our teams are fully mobilized around the 2028 ambition we unveiled at the Capital Markets Day in September, which a number of you attended. On that day, you will remember we disclosed three new industrial projects, all geared toward decarbonization and aligned with our new ambition, the concern purification technology to improve the environmental footprint and efficiency of our [indiscernible] production in France, the [indiscernible] capacity increase in the U.S. to support the growth of biofuels and organic peroxide in China for renewable energies. I won’t go into them in detail as we already spoke about them at length during the Capital Markets Day. Shorter term, a few important projects are expected to have a material contribution in 2024, namely our bio-based polyamide [indiscernible] unit in Singapore, which is gradually ramping up as well as the plant at Nutrien and [indiscernible] batteries and home insulation in the U.S. I will now let Marie-José go through the financials in more detail before we discuss the outlook at the end of the presentation.
Marie-José Donsion: Thank you, Thierry. I’ll start with the profit and loss as usual. So at €2.3 billion, Arkema third quarter sales were down 17% at constant scope and currency. [indiscernible] were down 7% and the price effect at minus 10.6% reflected the trend on raw material prices as well as the normalization of PVDF and less favorable conditions in upstream acrylics. The currency impact is at minus 4.5%, driven by the strength of the Euro versus the U.S. dollar and versus the Chinese Yen related to Q3 ‘22. Our Q3 EBITDA came in at €386 million, which demonstrates a good resilience of the margin at 16.6% in line with last year’s. This margin level was achieved through discipline in pricing management as well as strong control of our fixed costs. Looking quickly at the performance of our segments, we have adhesives, which had a good quarter, growing EBITDA by 9% despite a 10% decline in sales, which equates to a 250-basis points improvement in the EBITDA margin to 14.4% for this quarter. With some help from lower raw material costs, this performance was driven by assets to control costs over the weaker volume environment, a better product-mix and continued operational excellence initiatives to improve efficiency. In Advanced Materials, we were impacted by the reversal of the PVDF of the earnings of last year. This overshadowed the benefits from new business developments, which drove increased volumes in high-performance primers as well as a strong EBITDA in Performance Additives. In the current context, our EBITDA margin is holding well at 20%. In Coatings, we faced challenging conditions in upstream acrylics, all the more in the context of last year’s high comparison base. The combination of lower unit margins and lower volumes explains the EBITDA decrease. The performance of our downstream business is more resilient despite slower demand and destocking. It’s boosted by the success of ecofriendly solutions and more favorable raw materials. Finally, in Intermediates, our performance is robust, given the macro environment, supported by the resilience of refrigerant gases. For the group, depreciation and amortization stood at €140 million, stable versus last year, leading to a recurring EBIT of €246 million and an EBIT margin of 10.6%. Non-recurring items amounted to €64 million, in line with Q2 level, around half corresponds to PPA depreciation and amortization and the other half to one-off charges as well as the start-up costs of our polyamide 11 plant in Singapore. With financial expenses of €9 million and tax expenses at €54 million, Q3 adjusted net income stood at €277 million, which corresponds to a €2.38 per share. Q3 free cash flow amounts to €273 million, which includes a €138 million inflow from working capital as a result of lower activity levels and lower raw material prices. This strong performance emphasizes the focus on cash generation across the company. Total capital expenditure amounted to €107 million, broadly similar to last year’s level. And to finish, basically, net debt at the end of September ‘23 amounts at €2.4 billion, including a €700 million hybrid bonds. Our balance sheet remains, therefore, solid with the net debt to last 12-month EBITDA ratio standing at 1.7x. Thank you for your attention, and I hand it over to Thierry.
Thierry Le Hénaff: Thank you, Marie-José. So as you know, the macroeconomic environment has not shown any signs of improvement and the overall visibility remains limited. This is true across all regions, I would say, although Asia remained somewhat more resilient relative to Europe or the U.S., at least for the time being. In addition, as you all know, geopolitical tensions have risen over the past few weeks. We are, therefore, really focusing on what we control. So we maintain a strict operational discipline in this context. We manage fixed cost very strictly. We will deliver this to what we said we would deliver, which is €30 million savings compared to our budget, and we spoke about it when we published Q2 results. And we are also as Marie-José mentioned, optimizing working capital to take into account the weak macro to adapt permanently on the sales forecast and to maintain a strong cash flow dynamic. So with Q3 results, which were, as you could see in line with our expectation. And as we had indeed recently and during the Capital Markets Day, we confirm our target to reach an EBITDA of around €1.5 billion in 2023. As we look towards the months ahead, we are actively working on the industrial projects that you are familiar with, both the ones which have started already and those which will shortly be finalized as we expect these projects to contribute nicely to our growth in 2024. Beyond this short-term consideration, the Capital Markets Day was a great opportunity to focus the teams on our larger, longer-term ambitions. So we are all highly motivated, focused to achieve the financial target we set ourselves longer term for 2028, and we are convinced that with our portfolio of cutting-edge technology and sustainability-driven innovation, we are ideally positioned to ride the waves of the megatrends and capture the opportunities in the high-growth submarket that we detailed during the event. So after these few words, I thank you very much for your attention. And together with Marie-José, we are now ready to answer your questions.
Operator: Thank you. [Operator Instructions] The first question is from Jaideep Pandya with On Field Research. Please go ahead.
Jaideep Pandya: Hi, thank you so much. My first question is on adhesives on the margin performance and well done on that. We’re already at 14.4% margin for Q3. And obviously, raw materials keep continuing to go down. So I just wanted to understand that when we look at 2024, how do we see margins for adhesives? And the second question really is on PVDF. When we look at the volume environment for PVDF, you’ve grown volumes marginally, it looks like in Q3. Again, when you look at dynamics in Asia, how do you see volumes for PVDF recovering in 2024? If you could give us some color. And finally, on patterns, it seems like your coating customers have started to buy more larger ticket, more volume-oriented products like acrylic acid or solvents for that matter. So do you see that in 2024, the destock that we’ve seen in the coating chain will be over, and we will see some normalcy in buying patterns? Thanks a lot for my question.
Thierry Le Hénaff: Good morning, Jaideep and thank you for your question. So the difficulties that you’re more than focusing on what we publish are focusing on ‘24, which is a bit early, frankly speaking, normally, we talk about the following year. As you know, every year, when we publish previous year, so it would be an effect. So what I can say so far, so first of all, we’re happy – back to your first question. We are happy with the margin of adhesive, which reflect the huge work which is being achieved by the team and also the evolution of this segment. In fact, this segment plays really the role that we define for it when we started to build an adhesive franchise. It’s really more resilient overall in this kind of economies and we like that. It’s important to have this pillar. Now with regard to the margin in ‘24, is certainly too early to tell you in detail, the idea is to continue to grow year-by-year. So as you know, we have a target for 28%, which is 17%. If you take a straight line between ‘23 and ‘28 it would be where we target for ‘24 or something like that. And we try in the way we developed the company, and we try not to have too much bumps, we like to do it really steadily, so take a straight line between ‘23 and ‘28 we will benefit, for example, from the synergies on Ashland [ph] and will continue to ramp up with some recovery. With regard to raw material, when you say they continue to decrease, they don’t continue to decrease. We have – so we had ‘19 a certain point, then it increased pretty much on. From this high point we had at the beginning of the year, it decreased, but we are still well above where we were in ‘19. And we think that the point we have reached today is from what we see, more or less stable. And because don’t forget that the old price has increased recently for different reasons, including geopolitical reasons, and because of that, overall, you had some decrease on certain raw materials, but some others have increased back. So, I would talk more about stability at a level which is inflated compared to what it was in ‘19, while below the peak of the start of the year. With regard to PVDF, actually, the volumes are there. So, at the beginning of the year, they were not there. You remember, we discussed on batteries, it’s what was quite destocking, but I would say the room out there, we are more because of what you know about Chinese capacities and also the reference point of last year is more of a unit margin topic where they have decreased prices, well decreased, but volumes are there. So next year, we have had some projects with some staff expansion, which were implemented mid this year in China and in France. So, next year, we should benefit on our volumes, and we believe we will be – we will put a ramp up, which should benefit on our volume of the expansion of capacity we had in 2023. So, in terms of contribution, nothing to compare to what will be a contribution from Nutrien or from Singapore on Polyamide, but there will be an incremental positive contribution of this expansion we had. And we believe that the volume should be there in PVDF next year just supported by – in particular by battery. And also oil and gas, which is not bad. On the coatings, so clearly, the destocking as getting more limited and compared to what it was at the start of the year. We have seen some residual destocking, particularly in the U.S. because in the U.S, the destocking started later compared to Europe, okay. So, hopefully, in ‘24, there will be some recovery at a certain point in the year, this is at least our assumption. Now, when the availability is too limited to be more precise than that, certainly, we will give you more granularity when we discuss in the outlook for ‘24.
Jaideep Pandya: Okay. Thanks a lot.
Thierry Le Hénaff: You’re welcome.
Operator: The next question is from Aron Ceccarelli with Berenberg. Please go ahead.
Aron Ceccarelli: Hi. Good morning. I have a question on PVDF capacity. My understanding is that this year, we have got quite a good chunk of capacity additions from China. And it looks like there is more to come next year. Maybe can you elaborate around this, please? And my second question is on fluorogases, we continue to see strength in pricing in both Europe and the U.S. Maybe can you explain a little bit what is driving this? Thank you.
Thierry Le Hénaff: So, two different – completely different dynamics between PVDF and fluorogas. So, with regard to PVDF, yes, you are right to say, and we have been quite transparent to you on this. And there have been significant capacity addition in China, which is – and why China for two obvious reasons. The first one is that it’s a country of fluorspar, with Mexico is one of the two countries in the world where you have a lot of fluorspar, so it drives the sort of fuel gas fluorogas and polymers, not only PVDF strategy by a Chinese player. And the second one is that the battery, we are just at the start of the EV, not only in China, but also in the world. And as you know, electrical vehicles made in China will not be made only for China, but also for outside of China. So, because of that, you have two elements coming in parallel, the ongoing growth of PVDF demand, which will be quite significant in the next 10 years and at the same time, significant capacities. So based on that was the strategy of Arkema. As usual, we have a growth strategy which is reasonable. This is what we presented at the Capital Market Day, and we try to have a qualitative growth, we try really to focus and this includes also what we do in battery, where we are not chasing for the whole market. We are really focusing on what is the high end of the range in order to continue to get differentiated. On flurogas, it’s a different dynamic because it’s not regard so much by the end demand. It’s more driven by the replacement of old generation of fluoride by new generation and by the mechanism of Kerteh [ph]. To make the story simple, this year is a solid robust year for fluorogas, for Arkema. And we are optimistic that next year should be again another solid year and robust in fluorogas. You mentioned Europe and the U.S, you are right, for Arkema, the two main contributors for fluorogas. And we have also beyond that, a few specialties that we are now developing, will start to contribute nicely and they are positioned in the HPP segment.
Aron Ceccarelli: Perfect. Thanks very much.
Thierry Le Hénaff: You’re welcome.
Operator: The next question is from Geoff Haire with UBS. Please go ahead.
Geoff Haire: Good morning and thank you for the presentation. I just wondered if I could ask two related questions. First of all, when you look into 2024, what did you have in your control, i.e., what do you expect from new project contribution to EBITDA and also cost savings as well? And is there any other levers that you have control of that you could give us, that would be great?
Thierry Le Hénaff: So again, on [indiscernible], I will try to be a bit shy because it’s more a discussion for our end of Feb when we publish our full year ‘23 result, but I will try to give you a little bit of substance already today. So, in fact, for the growth on the cost savings, we will do them, but it’s more a mitigation of the inflation on cost. So, it’s a different nature. So, in terms of growth, we get more or less three, let’s say, elements. The first one our organic projects, so you know them well because we are quite transparent, including but not only the ramp-up of the polyamide plant in Singapore, the ramp-up of the Nutrien Asia for twice [indiscernible] for thermal insulation, the PVDF I have just mentioned to Jaideep at the beginning of the discussion. So again, we will be more – let’s say, we confirm this number. But shortly speaking, we should generate around €70 million of additional euros in ‘24 versus ‘23 coming from there. Then we got the PIAM acquisition as we saw nothing more than what we presented when we made the acquisition. By the way, we think we should close either before the end of the year or early next year. So, we will get close to a full contribution next year on PIAM, but we cannot be sure with the number because we have not closed. And as you know, it’s a listed company, but we will discuss that again on the early ‘23 – early ‘24. And the last trial is there will be a rebound in ‘24. The question is when. So, it’s too early to be more precise and even yourself, you cannot be more precise, but will be as the third pillar of our growth for next year.
Geoff Haire: Okay. Thank you very much.
Thierry Le Hénaff: You’re welcome.
Operator: The next question is from Angelina Glazova with JPMorgan. Please go ahead.
Angelina Glazova: Good morning. Thank you for the presentation and for taking my question. If possible, could you give us a bit more color on the full year guidance and Q4? For instance, if we assume full year EBITDA at €1.5 billion that would imply fourth quarter EBITDA of around €330 million. So, could you confirm if you are happy with this assumption for Q4 from outside or rather you are implying a certain range for the full year guidance? And therefore, if this is the case, what would the range be for Q4? Thank you.
Thierry Le Hénaff: No. By nature, and you know the answer. We are already very precise because we publish around €1.5 billion, which I would say, if I compare to my peers, is already a very precise guidance. It is difficult to be even more precise than the euro. So, as you know, we confirm what we said at the Capital Market Day, around €1.5 billion. We are happy with this around €1.5 billion. And so you can make the math on the Q4 that you are doing. So, this is – we confirm and we reaffirm this guidance, and it will return in the press release.
Angelina Glazova: Thank you.
Thierry Le Hénaff: You’re welcome.
Operator: The next question is from Matthew Yates with Bank of America. Please go ahead.
Matthew Yates: Hi. Good morning everyone. Thierry, can I ask about high-performance polymers? You had a really tough first half in that business, so good to see volume growth returning in Q3. In your introductory remarks, you talked about business development and specifically auto and energy. Can you just elaborate a little bit more on where that volume growth has come from, be it the applications and even what type of polymer? Is this PA11 ramping up, or is this more broadly in the portfolio? And I guess what I am struggling a little bit here is with the volatility from quarter-to-quarter in the business. So, just things like order timing really influence the numbers, or is this a more underlying or recurring business development that would give you confidence on growth into Q4 and beyond? Thank you.
Thierry Le Hénaff: Okay. Thank you, Matthew. As you know, in terms of EBITDA, we publish on the segment, our Advanced Material, which is made of two components HPP and performance additives, which I would say, two different dynamics. On HPP, you said tough, okay, I accept that, but it’s tough compared to last year, which was outstanding because of this overall in PVDF. If you come back on the longer comparison, I think given the macroeconomic, it was a good level of profitability. And you can see that with regard to the EBITDA of the whole segment where we are above 20%, which given the macro contract, which is challenging, obviously, since the start of the year is a good performance. So, I would say you have two different dynamics. On HPP, you have decent volumes, and they were growing actually on the Q3. But you have this year-on-year comparison, you compare to this over-earning of last year on PVDF, I will come back to the point of previous point of the conversation. You have some short-term pressure because of these new capacities. On the development, I would say PVDF volumes now after – that was a year, the volumes are okay. On polyamide, in fact, we are – it’s not the ramp-up of the plant is really that we are sold out because, as you know, we are starting the plant. So, they are growing, still quite limited as a new plant. So, it’s mostly based on the legacy capacity and that we are still rather sold out. So, I would say, rather stable volumes on the polyamide and growing volume on PVDF. I will take advantage of your question to mention performance additives, which has a growing EBITDA, which is remarkable in the current context, not coming from the overall, but really the evolution of the product mix. We mentioned because it was one of the assumptions for the future investment in the U.S. The development in additive for biofuel is one element. We mentioned also what we do in renewable energy in Asia, it’s another element, is a high-margin business, okay, and they support the evolution of the mix up.
Matthew Yates: Thanks. Can I ask a question about working capital? Thierry’s introductory remarks suggested that the end environment wasn’t getting particularly better. Do you expect to still reduce inventory further in Q4 or levels now about normal?
Marie-José Donsion: No. I think there is still the classical seasonality that we have in the business for Q4. We still have some decrease in raw material prices being factored progressively into the inventory pricing. So definitely, I would still expect to reverse basically the negative working capital that we have year-to-date.
Matthew Yates: Got it. Thanks guys.
Operator: [Operator Instructions] The next question is a follow-up from Jaideep Pandya with On Field Research. Please go ahead.
Jaideep Pandya: Hello. Thanks. Thierry, just on biochemicals. Obviously, the [indiscernible] market has been a bit difficult in the last 12 months. So, how has power chemicals, which used to be very, very solid and stable business for you, how has that evolved in 2023? And how do you see it sort of on a forward basis? And then just an add-on to that, there is obviously backward integration capacity being built by one of the key players in the U.S. So, will that lead to lower earnings for you in ‘24, ‘25 and the sort of the capacity comes on stream? And then just an additional question around performance additives is around molecular feeds [ph], which used to be quite a nice profitable business for you guys. So, we haven’t spoken a lot about this in recent times. How do you see molecular feeds in current environment? Thanks a lot.
Thierry Le Hénaff: Okay. Jaideep, so on Thiochemicals, without giving you all secret because if I do that, I will share it with my competitors, but overall, you have, as you know, different businesses. On the methane, it has been now a couple of years, which is more challenging. So, we have been able to limit the pain, I would say, because of our positioning, but it’s not what we have had for many years, which was a growing end market, is not the case anymore, but is still a nice contributor. But performance has been a little bit reduced compared to what it has been. But on the other side, as we mentioned, we are developing some additives, including the one for biofuel, but also some application linked to oil and gas, which are doing very well. And because of that, overall, we are able to be stable at a high point. And so it’s a good position to be in. So, it’s a good business, and thank you for asking the question. [indiscernible], it has been – we have two business sort of recurring business, which is stable, I would say, we continue to be stable. But the big contribution you are referring to are not coming from project-related business, which has been rather weak in the past years and will continue to be weak for a couple of years. So, don’t count on that for next year, but you have been able to see that on performance additive. We have been able to mitigate that by other development, and we are happy about that. So, you have a strong performance additive and resilient. And you could see it especially this year, where in the macro, when you add all the addition of the different product line or contribution of performance additives, we are really contributing mostly and growing a little bit and which is really a good performance.
Jaideep Pandya: If I may just ask one follow-up on PVDF, where are we on the technology evolution for suspension grade for Arkema? Are you guys going to compete with one of your close competitors there, or you don’t need to be there and you can still grow and sort of upgrade your emulsion technology? Could you give us some color on that, please? Thanks a lot.
Thierry Le Hénaff: So again, we have not created this debate, but we also anyway, so I am a bit puzzled when you asked the question because suspension is good for a part of the binders. It’s not necessarily well positioned for separators and for other applications of the sale and emulsion is good for – a part, as you know, additive related, which is more or less taking half of the market long-term and is good for separators. So, I think for us, it’s important to these two suspensions. We are making some good reserve, which in term will help us to be positioned. But we are happy with what we have. This means that not everybody in PVDF is positioned the same way. I think with the cards we play positioning of the high value, I think we are well positioned now, it’s 2 years, a little bit different. And we are talking about battery and there is all the rest in which we have very strong positioning. We are very consistent with what we said at the Capital Market Day where as you know, we have a showroom, we could really explain where we were in batteries and not only inside PVDF for batteries, but also in Arkema technology, other technology. So, I mean the game is starting, and we have plenty of cards to play, not exactly the same cards as our competitor, but we are happy with that.
Jaideep Pandya: Thanks a lot.
Operator: The last question is from Martin Evans with HSBC. Please go ahead.
Martin Evans: Thank you. Yes, it’s just a very quick question. Thierry, on your longevity at Arkema, I noticed last night, the main Board or the Directors. Yes, they extend your contract for another 4 years starting next year, 2024, that will take you up to 2028, and I have first met you back in – well, I think it was before 2006 with the spin-off when – again, you were Chief Executive. That’s an awfully long time. In fact, it must be a record for anyone to hold a job in the chemical industry for over 20 years. I am just – it’s obviously very reassuring for everyone who knows you, for investors, for analysts and so on, but what was your motivation? I guess you will say it simply because you want to carry out the latest strategy up until 2028. Did you not think of possibly having a rest because it is an awfully long time to be running a company?
Thierry Le Hénaff: Thank you for the question, Martin. So first of all, this is a Board that we are deciding, this is not myself. So, I was happy to see that the Board is supporting that. Now, there will be the general assembly with the shareholders. This is our voice at the end. And with regard to me, as you know, pretty good shape. And the good thing as you know, with the chemical industry and the world in general, that is moving all the time, so we had the – I would say, the topics are changing, the stakes are changing, which is very good. And with the Capital Market Day, I think as you could see, we have quite a very interesting project to lead, and I was happy to see that I get the support of the Board to lead this project, which is really very exciting because the world is really changing. So, it keep me in good shape. Hopefully, I answered your question, more or less.
Martin Evans: Excellent. Well, good luck and congratulations.
Thierry Le Hénaff: Thank you very much, Martin. Do we have other questions or…
Operator: No, Mr. Le Hénaff. That was the last question. I will turn the conference back to you for the closing remarks.
Thierry Le Hénaff: Okay. So, I would like to thank you all for your questions and for listening to us. And as usual, Beatrice and Peter will be at your disposal for questions in the short-term and Marie-José and myself when we have the opportunity to meet you in the coming weeks and months. Thank you very much.